Operator: Good day and welcome to the Iteris Fiscal 2024 Fourth Quarter and Full Year Financial Results Conference Call. At this time, all participants have been placed on a listen-only mode and we will open the floor for your questions and comments after the presentation. Please note that this event is being recorded. I would now like to turn the conference over to Todd Kehrli of MKR Investor relations. Please go ahead.
Todd Kehrli: Thank you, operator. Good afternoon, everyone, and thank you for participating in today's conference call to discuss Iteris' financial results for its fiscal 2024 fourth quarter and full year ended March 31, 2024. Joining us today are Iteris' President and CEO, Mr. Joe Bergera, and the company's CFO, Mr. Kerry Shiba. Following their remarks, we'll open the call for questions from the companies covering sell-side analysts. Then we will answer investor questions that were submitted to the company in advance of the call for the instructions in our press release dated May 30, 2024. Before we continue, I'd like to remind all participants that during this call, we may make forward-looking statements regarding future events or the future performance of the company, which statements are based on current information, are subject to change, and are not guarantees of future performance. Iteris is not undertaking an obligation to provide updates to these forward-looking statements in the future. Actual results may differ materially from what is discussed today, and no one should assume that at a later date, the company's comments from today will still be valid. Iteris refers you to the documents that the company files from time to time with the SEC, specifically the company's most recent forms 10-K, 10-Q, and 8-K, which contain and identify important risk factors that can cause actual results to differ materially from those that are contained in any of the forward-looking statements. As always, you'll find a webcast replay of today's call on the investors section of the company's website at www.iteris.com. Now, I'd like to turn the call over to Iteris' president and CEO, Mr. Joe Bergera. Joe, please proceed.
Joe Bergera: Great. Thank you, Todd. And a good afternoon to everyone. I appreciate all of you joining us today. Iteris reported fiscal 2024 fourth quarter total revenue of $42.8 million and fiscal 2024 full year total revenue of $172 million, representing growth rates of 1% and 10% year-over-year, respectively. As a reminder, the fiscal 2023 fourth quarter comparison was unusual, with us shipping a very large level of backlog that accumulated over several preceding quarters in the wake of global supply chain constraints. Therefore, our full-year double-digit growth rate provides a more normalized view of the business. In addition to reporting double-digit organic growth, our fiscal 2024 fourth quarter and full year gross margins improved 558 and 1,063 basis points year-over-year respectively. In turn, this gross margin expansion and our continued operating expense discipline drove substantial improvement in adjusted EBITDA and adjusted EBITDA margin, increasing year-over-year by $1.4 million or 33 basis points respectively in our fiscal 2024 fourth quarter and $19.5 million or 1,174 basis points respectively in our fiscal 2024 full year. Of course, Kerry's going to address our profitability dynamics in more detail in his comments. Despite some expected bookings lumpiness in our fiscal 2024 third quarter, customer adoption of the ClearMobility platform remained very strong through fiscal 2024, with Iteris achieving what we believe is a best-in-class revenue-based win rate in competitive procurements of 69%. This win rate translated into record fiscal 2024 fourth quarter total net bookings of $53.3 million, increasing 20% year-over-year and record fiscal 2024 full-year total net bookings of $181.6 million, increasing 7% year-over-year. We estimate $59 million, or 32%, of our full-year total net bookings will be recognized as annual recurring revenue. This represents a 32% increase year-over-year in total net bookings will be recognized as annual recurring revenue. We attribute these positive leading indicators to our strong product roadmap and commercial execution as well as the distinct advantage of our unique flywheel. In other words, we believe Iteris has and will continue to capture a disproportionate share of the opportunity in our end market because on one hand, our consultants are positioned as trusted technology advisors, and on the other hand, our software and sensors, all of which are recognized as best to breed in their own right, are even more valuable when deployed in combination. These synergies are powerful differentiators for Iteris, especially since we have aligned our capabilities to our ClearMobility platform, making it simple for our customers to benefit from the full breadth of our portfolio. Due to our strong net bookings, we ended the March 31, 2024 period with a total ending backlog of $123.8 million, representing an 8% increase year-over-year. Our ending backlog and net bookings figures reflect firm customer orders rather than total contract value. The total value of customer contracts, which of course varies from quarter to quarter, averages on an historical basis about 200% of our total ending backlog. Also our backlog excludes a sizable portion, which of course varies from period to period, of sensor bookings that convert to shipments within a single quarter. At this point I'd like to share some details about the performance of our product portfolio. We reported fiscal 2024 fourth quarter product revenue of $21.6 million and fiscal 2024 full-year product revenue of $91.8 million, representing a 14% decrease and an 8% increase year-over-year respectively. As a reminder, the fiscal 2024 fourth quarter comparison was significantly affected by an unusually high prior year result due to shipping a very large level of backlog that accumulated over several prior quarters. Over the course of fiscal 2024, we believe Iteris won virtually every large competitively sourced detection, fixed travel time, and cellular vehicle to everything, or what we'll sometimes call CV2X sensor initiative across the country. Additionally, we continue to improve the attached rate of SaaS and other annual recurring revenue to our various smart sensors at the point of sale. Some notable deals include a new master purchase agreement with Maricopa County in Arizona, which as you may know is the fourth most populous county in the nation, to use our Vantage Next detection system and BlueTOAD travel time sensors, as well as our Vantage Live ClearGuide signals and VantageARGUS CV software for a multi-year comprehensive arterial modernization initiative. A new purchase agreement with the City of Cedar Park, Texas to deploy our Vantage Apex detection system, connected vehicle sensors, and Vantage Live and ClearGuide signal software for a comprehensive citywide intersection modernization initiative, and a purchase order for our Vantage Apex detection system and Vantage Live software from the Coachella Valley Association of Governments in California for the second phase of a region-wide intersection modernization initiative. Collectively, this handful of new customer agreements represent more than $10 million in future sensor sales. In addition to solid commercial execution, throughout fiscal 2024, we continued to extend the feature and performance advantages of our sensor portfolio. For example, we released a comprehensive managed service branded as VantageCare that leverages edge and cloud services to help agencies better maximize their traffic detection investments, an integrated intersection detection and connected vehicle system, which is branded as Vantage CV, that combines traffic detection, cellular vehicle to everything communication, and connected vehicle safety applications into a single system, a new central control unit for Vantage Next that doubles the number of sensors supported by each in-cabinet processor, API enhancements that enable our connected vehicle sensors to process and publish connected vehicle data packets at massive scale to the ClearMobility platform as well as directly to other ecosystem participants, and new sensor fusion features in both our Vantage Apex and Vantage Next product lines. Furthermore, we entered into an exclusive technical and commercial partnership with Sumitomo Electric Industries to integrate its advanced pedestrian detection sensor into our ClearMobility platform. We believe this integrated state-of-the-art solution will transform pedestrian detection in the United States and double Iteris’ total addressable market for detection solutions from about $500 million today to about $1 billion going forward and further enhancing our uniquely curated mobility data set. With that, I'd like to review the performance of our sensors portfolio. We reported fiscal 2024 fourth quarter service revenue of $21.2 million and fiscal 2024 full year service revenue of $80.2 million, representing a 22% and 13% increase year-over-year respectively. The increase in fourth quarter and full year service revenue demonstrates the talent acquisition program which we initiated in our fiscal 2024 first quarter is starting to benefit our labor capacity and services backlog conversion. In fiscal 2024, about 40% of our services revenue was comprised of project-based, in other words, consulting revenue and 53% was comprised of annual recurring revenue from our software as a service, data as a service, platform as a service, and managed services offers. If you look at it on an enterprise basis, ARR represented 25% of our total revenue in fiscal 2025. In addition to the solid improvement in our services revenue, we posted fourth quarter net services bookings of $34.6 million and full-year net services bookings of $103.5 million, increasing 27% and 12% year-over-year, respectively. As demonstrated by the recent Orange County Transportation Authority order that we announced on March 27, 2024, we continued throughout fiscal 2024 to increase the attach rate of annual recurring revenue to our consulting projects. This capability, which again is unique to the Iteris flywheel, will continue to contribute to further improvements in the growth rate of our annual recurring revenue going forward. In fiscal 2024, we continued to introduce significant enhancements to our software as a service, data as a service, platform as a service, and managed services portfolio that we believe will also drive future annual recurring revenue growth. For example, in the fiscal 2024 second half alone, we released VantageARGUS CV, which is a next generation travel time and connected vehicle data collection and presentation system, ClearGuide Signal Trends, which uses anonymized trajectory data to optimize signal timing without any dependence on temporary traffic count data or communications infrastructure and OpenLR map support for our ClearData contextual mobility data feed, which we recently announced Telenav will use for its Scout Maps application. So in summary, we're pleased with our fiscal 2024 double-digit organic revenue growth and significant gross margin and adjusted EBITDA improvement, as well as our strong commercial execution, whether you measure that by bookings, backlog, or our competitive win rate. With the impact of COVID-19 and the associated supply chain disruptions, in our rearview mirror, we believe the company's fiscal 2024 results validate our business strategy and represent an important inflection point for Iteris. So on that note, I want to turn the call over to Kerry to provide some more color on our fourth quarter and also our full-year financial results, after which I'll come back and discuss our fiscal 2025 expectations.
Kerry Shiba: Thanks, Joe, and good afternoon or evening, everyone. As you review our fourth quarter results, I encourage you to consider Joe's comments regarding our full year revenue results when assessing the overall momentum of the business. You may recall that both Joe and I have noted in our last call for the last -- in our call for the last two quarters that the combination of seasonality and unusual shipping dynamics stemming from prior year global supply constraints affected comparisons of our fiscal 2024 third and fourth quarter products revenue relative to the prior year. As Joe also described, we continue to make exciting commercial progress. I only want to underscore that our strength in the market continues to be demonstrated by our double-digit revenue growth for the full year, a significant sales pipeline, and record bookings levels, both for the fourth quarter and the full year. Because Joe already addressed revenue results, I will move down the income statement to the gross profit line. As Joe noted, our gross margin results were markedly improved in fiscal 2024, increasing 558 and 1,063 basis points for the fourth quarter and full year respectively when compared to the prior year. Let me provide some details, first for the fourth quarter comparison, followed by the full year. On a consolidated basis, the fiscal 2024 fourth quarter consolidated gross profit reached $16 million, an improvement of $2.5 million or 18% over last year. The increase was driven by a $3 million improvement in services, which partially was offset by a $500,000 decline in products. The services gross profit improvement reflects the 22% year-over-year revenue increase Joe mentioned, as well as the benefit of a stronger labor mix resulting from increased internal labor capacity. The fourth quarter decline in products gross profit primarily reflects the 14% year-over-year revenue decline, which as Joe noted, reflects the comparison to an unusually strong prior year. The impact of the product's revenue decline more than offset a benefit from lower negative purchase price variances hitting the P&L this year. In the fourth quarter of fiscal 2023, we expensed about $2.2 million of negative purchase price variance and expediting fees, which compares to only $100,000 in the current year's fourth quarter. As you may recall, last year's negative purchase price variance resulted from aftermarket purchases of semiconductors and other electronics components. Looking at gross margins, the fourth quarter of this year reached 37.4% in the aggregate, an improvement of 558 basis points compared to the same period last year. Margins were up for both services and products. For services, the increase was 1,024 basis points, while for products, the improvement was 391 basis points. Services gross margin was 31.9% of revenue for the current year and reflects the improvement in labor mix supported by the success of our talent acquisition program, which Joe mentioned earlier. Products gross margins was 42.7% for the current year's fourth quarter, as the benefit of having last year's negative cost impact from supply chain issues clearly behind us was offset slightly by a weaker product mix and some inventory adjustments. For the full year, fiscal 2024 consolidated gross profit was $64.6 million, almost $23 million or 54% higher than in the prior year. Products drove about 85% of the total gross profit improvement, with just over $15 million resulting from having the supply chain issues behind us, and approximately $5 million reflecting a combination of stronger product mix, higher pricing, and increased volume. For services, gross profit grew 17% in 2024, as the benefit of higher revenues and improved labor mix were partially offset by higher costs as we had to adjust for the one-time loss of two data providers during the year. Although costs increased due to this adjustment, the structure of our realigned data supply contracts are expected to provide positive cost leverage as our software revenues grow in the future. For gross margins, we reached 37.6% in the aggregate for the full fiscal year 2024, an improvement of 1,063 basis points when compared to the prior year. Margins were up both for products and services, with the overall increase driven primarily by a 1,897 basis points improvement for products. The margin growth for services was 102 basis points. Products gross margin was 44.9% for fiscal ‘24 and similar to the fourth quarter, primarily reflects the benefit of having last year's negative cost impact from supply chain issues behind this with smaller improvement resulting from stronger product mix and higher prices. Services gross margin was 29% for fiscal 2024 and primarily reflects the same factors affecting the gross profit comparison. Operating expenses in aggregate for the fourth quarter of fiscal 2024 were 14.5% higher when compared to the same period last year and 449 basis points higher when measured as a percentage of revenue. The increase was largest in the G&A category with just over two-thirds of the increase resulting from the cost of litigated dispute related to a contract signed back in 2015. These litigation costs are excluded from adjusted EBITDA. We also continued to invest in R&D as well as in sales and marketing to support the product's revenue increase. For the full year, fiscal 2024 operating expenses were 9.3% higher than in the prior year, but declined 32 basis points when measured as a percentage of revenue. About 54% of the entire increase in total operating expenses and more than the full increase in G&A cost reflects the litigation expenses I just noted. The operating expense increase in fiscal 2024 categorically was most pronounced in sales and marketing expenses, primarily to support the revenue increase. The research and development category reflects increased activity focused on improving our software products. The factors just discussed related to revenue, gross profit, and operating expense fundamentally explain the major comparisons in operating income and net income. For adjusted EBITDA, these same factors also apply with the exception of the impact of the litigation costs, which as I mentioned previously, are excluded from adjusted EBITDA. As Joe noted, adjusted EBITDA was $2.8 million for the fourth quarter of fiscal 2024, which was approximately double the result for the prior year. For the full year, adjusted EBITDA was $12.9 million for fiscal 2024, an improvement of $19.5 million over last year. Total cash and cash equivalents at the end of fiscal 2024 were $25.9 million, representing an increase of $9.3 million, or 56% over the balance at the same time last year, and $4.7 million higher than the balance at the end of the preceding quarter. Full year 2024 cash flow from continuing operations increased by $15.9 million compared to the prior year. Investing activities for fiscal year 2024 were $3 million in total, primarily reflecting capitalized software development. I now will turn the call back over to Joe, who will discuss our fiscal 2025 guidance and provide closing comments.
Joe Bergera: Great, Thank you, Kerry. The smart mobility infrastructure management market continues to represent significant long-term opportunities due to historic federal funding that's been committed by Congress through 2026 and is expected to have a further multi-year funding tail as state and local agencies will continue to spend obligated funds well past the legislation’s statutory end date. Additionally, technology trends that include the adoption of cloud infrastructure, artificial intelligence and connected and automated vehicles will continue to drive significant smart mobility investments by state and local agencies as well as by various private sector entities. Given the breadth of our platform capabilities, significant brand equity, and extensive customer reach, we are very optimistic about Iteris’ ability to capture a disproportionate share of this revenue stream. To that end, Iteris will continue to deliver against an aggressive solutions roadmap with the following major releases planned for fiscal 2025. A new form factor for our latest AI-based detection system that will significantly expand the serviceable available market for Vantage Apex, our most advanced intersection detection system. A new mobility data set that will address various new use cases and will expand the universe of prospective buyers for mobility data. A cloud-connected Edge solution provided on a subscription basis for remote monitoring and management of critical third-party assets deployed across both local and statewide transportation networks. A combination of new cloud and edge applications will expand our connected vehicle solutions portfolio and will drive both product and annual recurring revenue. And a highly advanced radar-based pedestrian detection system developed in partnership with Sumitomo that will be fully integrated with our ClearMobility platform and is expected to transform pedestrian detection and pedestrian safety in North America. We believe our fiscal 2025 release plan will increase our total addressable market, accelerate the adoption of our ClearMobility platform, and improve the monetization of our expanding mobility data sets in fiscal 2025 and beyond. For example, as noted earlier, the release of our new pedestrian detection system will more than double Iteris’ total addressable market for detection solutions from approximately $0.5 billion to $1 billion. And also, I want you to know that we'll begin shipping this new system in our fiscal 2025 third quarter. To capitalize on our release plan, we will continue to improve the productivity of our various sales channels. For example, we'll further optimize the distribution network for our sensor portfolio, expand our dedicated enterprise sales team that focuses on private sector segments, and enhance our customer success model to both maintain a greater than 95% retention rate, and increase our software net dollar retention rate from a current 105% to 110%. In addition to sales channel improvements in fiscal 2025, we'll continue to implement various talent acquisition and talent development initiatives to further improve the labor capacity of our consulting teams. This activity will focus primarily on civil and traffic engineering talent, given the supply of such talent remains very tight, even while we have seen some improvement in the supply of software engineering and data science talent. These talent initiatives will continue to require some short-term investment, but should further accelerate the pace of conversion of our historic consulting backlog and create operational efficiencies as well as enable us to pursue more sales opportunities going forward. Given these dynamics, we expect fiscal 2025 total revenue to be in the range of $188 million to $194 million, representing organic growth of 11% year-over-year at the midpoint. As a result of the increase in total revenue and our continued cost discipline, we also expect an improvement in our adjusted EBITDA margin to be in the range of 8% to 10% of revenue. This represents 150 basis points improvement in adjusted EBITDA margin at the midpoint of the guidance range, even after we continued to invest in talent acquisition and talent development initiatives. While we're not providing net bookings guidance, I do want to reiterate that we expect some continued bookings lumpiness over the next several quarters due to the timing of several large pending orders. And I also want to note that our particularly high fiscal 2024 first and fourth quarter bookings result will create some difficult comparisons in fiscal 2025. With respect to our fiscal 2025 first quarter guidance, we expect total revenue to be in the range of $43.5 million to $45.5 million, representing organic growth of 2% year-over-year at the midpoint of the guidance range. This revenue growth rate reflects a very difficult prior year comparison as well as the timing of various new product releases scheduled for the end of our fiscal 2025 second quarter and the start of our fiscal 2025 third quarter. Due to costs for the associated final development and pre-launch activities related to the release of those products, we expect our fiscal 2025 first quarter adjusted EBITDA margin to be in the range of 5.5% and 6.5% of revenue, representing a 324 basis points decline year-over-year at the midpoint. While we're not providing fiscal 2025 second quarter guidance at this time, we certainly anticipate sequential improvements in adjusted EBITDA margin as our Fiscal 2025 full-year guidance implies. Due to the forecasted increase of our fiscal 2025 total revenue and adjusted EBITDA margin, we anticipate continued improvement in our liquidity that should provide adequate cash to fund tuck-in acquisitions similar to our purchases of Albeck Gerken and TrafficCast International prior to COVID-19. At the same time, we believe the public market currently undervalues Iteris relative to some precedent private market transactions where intelligent transportation systems businesses have been acquired at more than 20 times trailing 12-month adjusted EBITDA. Therefore, while our liquidity outlook and capital allocation decisions can be affected by a number of variables, we are evaluating various options to enhance shareholder value, including share repurchases to return excess liquidity to Iteris shareholders. Looking beyond fiscal 2025, we believe Iteris remains on track to achieve our Vision 2027 targets, especially given the significant progress on our key solutions roadmap and labor capacity initiatives that will support further revenue growth. Therefore, we will continue to estimate or we continued to estimate fiscal 2027 revenue in the range of $245 million to $265 million before any additional acquisitions, which would represent a five-year organic revenue CAGR of approximately 14%, or more specifically, 13.7% at the midpoint. With a substantial increase in annual revenue, we also anticipate progressive benefits from scale to result in fiscal 2027 adjusted EBITDA margins in the range of 16% to 19%. So with that, we'll conclude the prepared remarks and would be delighted to respond to any questions or comments. Operator, do you have any questions from our analysts?
Operator: [Operator Instructions] Your first question is coming from Jeff Van Sinderen from B. Riley. Your line is live.
Jeff Van Sinderen: Hi, everyone. Joe, I know you mentioned, and Terry, you mentioned too, kind of a tough compare here for the first quarter on revenues. But I guess, is there any more color? And I know you said some things about Q2. But any more color you could give us on how you're thinking about kind of the revenue growth progression we should look for this year?
Joe Bergera: Yeah, well, Jeff, as you know, we've been just providing quarterly guidance, one quarter at a time. But obviously, if you look at the full year guidance and our first quarter guidance, it's obvious that we expect that there's going to be a step-up in the rate of revenue growth throughout the year. And again, if you look at it on a -- relative to the prior year, please keep in mind that the first quarter of fiscal 2024 was an unusually strong period due to the fact that we continued to ship a lot of backlog that had previously built up as a result of supply chain constraints that we've been experiencing. And then also we had a couple milestone achievements which impacted or led to a substantial amount of services revenue recognition in the period. So that creates a difficult comparison. We also have a couple of new products which I’ve discussed which we're going to be releasing into market. I want to be very clear that we will be selling and marketing those activities in the first quarter and the second quarter of the current fiscal year. However, revenue recognition for the censors won't occur until we actually ship those products, which will occur late in the second quarter and early into the third quarter. And that's going to result in like a higher rate of sequential growth and also improved year-over-year revenue growth rates as we progress through the year.
Jeff Van Sinderen: Okay, that's really helpful. And then can you speak, I know you mentioned the new product introductions, but maybe can you speak a little bit more on the R&D and sales team investments that you've made and kind of how you're supporting the new product introductions?
Joe Bergera: Sure, there is some, I'll say broadly, and then Kerry, I'll turn it over to you to talk to some of the specifics, but there is some external development costs that we're incurring in the third quarter. Following the release of these products, we will not continue to incur those costs, so it's episodic. There's also similarly some external launch-related investments that are occurring in the first quarter to create assets that will be leveraged when, during, over the course of the launch programs for these various new products. And so again, those are sort of episodic expenses and won't necessarily continue going forward. Kerry, I don't know if there's anything additional that you want to add in response to Jeff's question.
Kerry Shiba: Yeah, thanks, Joe. Jeff, a couple things. Sales and marketing does have a pretty good size variable component to it all because of commissions that are involved as we go to market. So as our revenues continue to ramp up as we progress through the year for the reasons Joe offered, from a nominal perspective, sales and marketing expense should reflect a bit of that curve, although I would expect as a percentage of revenue, we should hopefully keep that expense line relatively flat from a percent of revenue perspective. I would tell you that R&D, we've been progressively investing more and more, notwithstanding the episodic expenses that Joe mentioned last year associated with using outside contractors to help us. We are continuing to invest in resources in R&D to support continued build-out of our software platform. So you should expect that the R&D line will run higher than it has in fiscal year ‘24.
Jeff Van Sinderen: Okay, that's helpful. And if I could just squeeze in one more, since we're talking about kind of all these different line items in the P&L, just any help you can give us on gross margin progression as the year plays out? Realize some of these things are lumpy, as you said. You've got new product introductions. Perhaps there are some early things around those new product introductions, the plan to gross margin, that are not -- that don't continue, or you get more leverage as you reach scale on new products, maybe if you can just touch on gross margin progression for the year.
Kerry Shiba: Yeah, to be quite candid with you, Jeff, I was caught a little bit by surprise with the fourth quarter gross margin result. We took some charges that were -- fundamentally came out of our year-end physical inventory count. And that count, we incurred some shortages that were higher than normal. And I would only comment there that it points to the fact that it was a very thorough process of the physical count, but also points to the need for some process improvement as we go throughout the year. So that was a little bit higher number than normal and we also took some obsolescence charges that were identified during that physical count and we got hit in the fourth quarter of this year with roughly about $0.5 million worth of charges that were certainly directionally high for this and as I was talking to you last quarter, they weren't expected to tell you the truth. That number is worth like 220 basis points worth of the products area gross profit, which is where all those inventory items of course relate. And on an EBITDA margin perspective, those expenses added up to almost 120 basis points of EBITDA margin. With other noise going back and forth, I wanted to point that item just to say that that really affected kind of the launch pad, looking at Q4 this year as a starting point. As far as the progression next year, I think that I would expect to continue to see directional improvement in gross profit as we go quarter by quarter throughout the year. I think it's going to be driven by a couple of areas. I do expect our services area gross profits to continue to progress upwards. The improvement in labor mix is going to clearly help. And as we've talked about in the past, the rate of growth in the software products area is going to start to contribute some leverage to the overall gross margins in the services area. In the products area, I would expect the gross margins to be more stable in relative terms, but directionally a small tick upwards as we progress throughout the year, especially if you're looking first half to second half in contrast to a quarter by quarter progression there. I think the introduction of the new products that Joe has mentioned we would expect will help provide the incremental improvement in the gross profit there.
Jeff Van Sinderen: Okay, great. Thanks for all that. I'll jump back in the queue.
Operator: Thank you. Your next question is coming from Mike Latimore from Northland Capital Markets. Your line is live.
Mike Latimore: All right, thanks, yeah. Congrats on a great fiscal ‘24 year, nice profit improvement. On the -- just on the service gross margin, it ticked up really well sequentially, and I know it's from the talent acquisition, but I guess, Kerry, you think that can continue to grow from there?
Kerry Shiba: Yeah, I think the fourth quarter was very strong. There's no doubts about it, and I think as we move into the first quarter of fiscal ‘25, I would expect the services gross margins to be maybe even down a small tick compared to the unusually strong fourth quarter. But from that point forward, I think we should continue to see progression as we march through the rest of the year. So, fourth quarter to first quarter, I would be more conservative on that, but then second quarter on out, I think the improvement in labor mix should continue to bear fruit for us progressively.
Mike Latimore: All right, great. Makes sense. And then on the last earnings call, when you were talking about bookings for the fourth quarter, you said there might be potentially a $10 million deal. I guess, did that close in the quarter or is that still in the pipeline?
Joe Bergera: Yeah, so I'll answer that, Mike. So yeah, one of those did close. That was the OCTA deal, which was just under $10 million. I will say that we are tracking a number of other very large orders, similar magnitude to the OCTA contract. They continue to kind of move around, so that the timing is somewhat unpredictable, but there -- we do expect to close them in the relatively near future. There was the possibility when we provided our comments on our last earnings call, but in addition to the OCTA transaction, there may be another, which could have closed in the March 31 period, but obviously it didn't. And again, we are continuing to track that opportunity as well as others that we do expect to close in the relatively near future.
Kerry Shiba: Yeah, when you think about -- I'm sorry, when you think about momentum on bookings, momentum of the business, last year had a lot of lumpiness in it. If you take our total bookings for the year, $181 million or $182 million, that's about an average of about $45 million per quarter. There was only one quarter out of four last year that, like, was close to that average, so it was either higher or lower, but quite lumpy. So when you look at the first quarter of this year, it's a tough comp against the first quarter of last year, again, because of the high and low amplitude that occurred quarter to quarter. But, as we've mentioned more than once, Mike, as we keep looking at some of these larger deals, I wish we had perfect foresight on the timing of some of these, but to have some timing affect us here is something to be expected.
Mike Latimore: Yeah, no, it makes sense, makes sense. And among those larger deals in the pipeline, are they skewed more towards product or service?
Joe Bergera: It's actually a mix of both, Mike.
Mike Latimore: Okay. Got it. And then, did you say that you expect NDR to be 110% this year? I didn't quite get that.
Joe Bergera: Correct, yeah. Our software NDR was 105% in fiscal ‘24 and we expect that to improve to about 110% in fiscal ‘25.
Mike Latimore: Okay, great. Very good. And then just curious on the Telenav announcement, can you sort of just highlight why you won that deal and what the differentiation was?
Joe Bergera: Yeah, sure. It really came down to data quality. And As we've talked about, we think we have a very unique, very valuable, highly curated data set, mobility data set. And whenever we do a transaction with a commercial entity, they do extensive comparisons to other data providers. And almost always, when they put us and other vendors through that detailed data evaluation, we always end up coming out on top. And again, that's because our mobility data sets are -- we draw upon a variety of different data sources, unlike a lot of other vendors that really are largely relying on a single source. And then we go through a lot of effort to validate that data and ground truth test it. And so we're not surprised when -- whenever we do like a side by side comparison, we come out on top. But anyway, that -- at the end of the day, that's why we won that deal. It was certainly not on price. It was due to data quality.
Mike Latimore: Okay, good. Very good, thanks very much.
Joe Bergera: Sure. Thanks, Mike.
Operator: Thank you. Your next question is coming from Tim Moore from EF Hutton. Your line is live.
Tim Moore: Thanks. And it was nice to see the new orders up 20%. That was impressive, Joe and Kerry. I was just wondering maybe, I know Joe has touched on this twice, can you talk a little bit more about the Tuesday and the Sumitomo Electric Industries news announcement to double the pedestrian detection addressable market? And what kind of enhanced features are maybe coming over from its own Japan safety success?
Joe Bergera: Yeah, sure. So in the United States, we're actually not particularly advanced in terms of pedestrian detection. I think a lot of you guys, if you're just in your own personal lives, it's probably not unusual for you when you're standing at an intersection, you'll see that there's a push button at that intersection which you'll press to alert the signal controller of your presence. There are a lot of problems with that very outdated approach. In the Japanese market, where there's just an unbelievably high level of pedestrian traffic, in fact Japan is known for having more pedestrian traffic than any other country. They have -- they recognize that push button is just, it's just not an adequate device. And so Sumitomo has invested over the course of a number of years in a very, very advanced radar sensor, which can be used for very, very precise pedestrian detection. Now, I don't want to go into all the details, but it's a very difficult thing because you need to understand intent and speed and trajectory of pedestrian movement. You also need to be able to distinguish unique individuals when you've got a large group of people standing at an intersection. It's very, very complex. Anyway, Sumitomo has developed what we believe to be really the best in class, I mean on a worldwide basis, pedestrian detection sensor. We've been in discussions with Sumitomo for some time about introducing that sensor in the US market. We're integrating that into our ClearMobility platform and into our detection systems, which will be deployed at intersections with this additional sensor, which we think will dramatically improve intersection detection, pedestrian detection at signalized intersections. But that same device can also be deployed at non-signalized intersections, including like mid-block crossings, which are more and more, I'm sure a lot of you in your own personal lives will see that they're like lights and other indicators at these various mid-block crossings which get lit up when pedestrians are present. And again, today, those are only being activated when someone actually pushes the button. And so with this new sensor, we'll be able to do that without requiring people to activate the sensor, which is going to really revolutionize the way pedestrian detection occurs in the United States. Now, with respect to why does that increase our addressable market, it's -- our intersection detection products today are only sold into intersections that have signals. But this new device is applicable at other intersections which may not have traffic lights and also at mid-blocks as well. And so it significantly enhances the total number of intersections where we can deploy our technology. And that's what results in a significant increase in our addressable market.
Tim Moore: That was great color and it was nice to paint that picture. I think you addressed that pretty good. I was just wondering, in the US, what states like Arizona are you expecting to maybe enter more over the next year? You mentioned that when.
Joe Bergera: Yeah, sure. Well, again, it kind of depends on like the specific offer. So our detection products have significant market share on the west coast and throughout the Sun Belt. And so as we've talked about previously, there are lots of opportunities for us to expand our penetration into the northeast and the central regions. So that's a big focus for us. With respect to our consulting services, they're sort of still yet a different footprint. Our software products are different and those are sold on a -- are easy to sell on a national basis. They don't require that we actually have consultants like boots on the ground like our consulting services and sometimes our detection products do. So that's more evenly distributed across the country. But anyway, so again, it kind of depends on the specific products, but I'd say in general, geographic areas that we're very focused on trying to continue to develop would still be the Southwest, where there's significant growth and substantial opportunity for us. The Florida market, where we have a substantial presence, but it's a massive market, and then markets where we're underserved or under-penetrated today, I'd say, would be the central region and the northeast. And we're pursuing a variety of actions to increase our presence in those markets, including continuing to optimize our distribution channels, putting feet on the street, and then also entering into various marketing arrangements or co-marketing arrangements with local firms that have like a local presence but lack the breadth of capabilities that we have. And so we see that as an opportunity for us to access those markets through these unique local partnerships that we're developing.
Tim Moore: That's terrific. And my last question is regarding that deployment in the Philippines you announced last month. Are there any more countries or international cities part of that USTDA funded ITS modernization project that you can jump into to win maybe over next years?
Joe Bergera: Yeah, great question. And absolutely, yeah. And by the way, what all this stems from, as we've talked about, Iteris originally developed the nation's ITS architecture, which then became the Connected Vehicle Reference Information Architecture, and is now ARC-IT, the Architecture Reference for Cooperative Intelligent Transportation. That standard is not only a national standard but it's effectively become a global standard. And as a result, Iteris has really a worldwide reputation or recognition as a leading vendor of ITS planning capabilities. And therefore, we're seeing a lot of inbound interest from various international markets in us providing similar consulting services to those foreign countries as we've been delivering here in the US for some time. And as a result of that inbound interest, we've been working with the US Trade Development Agency to create a contract mechanism to make it easy for these foreign countries to procure our services. We would expect to continue to see more interest from various international entities, and we would expect to continue to announce more contracts like that.
Tim Moore: Thanks, and that's it for my questions.
Joe Bergera: Great.
Operator: Thank you. [Operator Instructions] Your next question is coming from Allen Klee from Maxim Group. Your line is live.
Allen Klee: Yes, hello. For your as-a-service offerings, what would you point to as kind of the driver for increased attach rates?
Joe Bergera: Yeah, so it depends. But I'd say, first of all, in general, we're just getting better at cross-selling. Our market historically has been super fragmented and most agencies have just been in this model of buying point solutions. And we're trying to disrupt that model. And I think we've gotten pretty effective at offering compelling value proposition and also frankly overcoming objections, and which has allowed us to increasingly sell these like larger integrated solutions where we're bundling various capabilities. We expect to continue to do that. The great thing about our market is -- our public sector market [as opposed to going] (ph) the public sector, our agency customers don't compete with one another, and so they're more than happy to share best practices with one another. And so as we're successful in executing on this model and then demonstrating value to those agencies, those agencies become great customer references for us and so we see other agencies follow suit. So we think we're really at the early stages in terms of the development of this kind of alternative procurement model. That's it at the end of the day, Allen. It really comes down to the fact that we've just gotten a lot better at articulating the value proposition to the customers. Our customers are responding to that, and it's beginning to snowball to our benefit.
Allen Klee: Thank you. And then just a small question, but related to two things you said about costs during the quarter. Well, one of the things you said during the past fiscal year that you had a negative impact from adjusting to data contracts, that that will be positive going forward. I was just trying to understand that a little better. If you adjusted them to lower contracts, why was it a negative impact? And then the second thing, litigation costs related to an older lawsuit, how do you think about how long that's going to last for? Thank you.
Joe Bergera: Yeah, sure. So the data cost, the background there is that we had an agreement with one company called Wejo and another one called Otonomo for connected vehicle data. Both of those companies were de-SPACs. They had very interesting business models. And we entered into agreement. We were probably some of their earliest customers and entered into agreements with them to get access to this connected vehicle data. Ultimately, both of those businesses went bankrupt. Because they were relatively early stage businesses and we were kind of their first marquee customer, we were able generally to negotiate sort of preferential pricing with them, at least for the first 12 to 24 months. Over time, there would have been price escalations in those original contracts. But as it turns out, they both entered bankruptcy, were unable to continue to provide mobility data to us. So we went into the market and we entered into agreements with alternative providers, including with Arity. Because of the circumstances, we weren't able to negotiate as favorable pricing upfront with these other entities, but it was an all-you-can-eat multi-year agreement where we were able to lock in pricing. So there was a negative impact to our cost of goods sold in fiscal ‘24, but in fiscal ‘25, we'll benefit from the fact that we've got this all-you-can-eat fixed license agreement with alternative providers. And so that's the dynamic that Kerry was referring to. And that'll continue to benefit us going forward again, because these are multi-year agreements with fixed costs, which was unlike the prior agreements that we had. And then with respect to the litigation cost, Kerry, maybe I'm going to punt that to you and see if you could -- if you wouldn't mind answering Allen's question.
Kerry Shiba: So, Allen, I'm sorry if I missed part of the question. The cost we incurred this year was roughly $2.8 million. The cadence going into next year, based on our current expectation of the trial date, which is going to be sort of going into the fall of next year, we would expect there to be a spike in expenses probably in our Q2 as all the pre-trial preparation and filings and everything else occurs, and we certainly would hope that as a result of the trial, we can put this thing in the rear view mirror favorably for us.
Joe Bergera: And, Kerry, I'd just add for the benefit of people who have been, like, following some of our prior comments regarding this trial, we had previously anticipated that the trial would actually occur in April. And because of the court's calendar being very full, it was pushed to September. Unfortunately, when you push out litigation, it seems to create opportunities for lawyers to find like new motions and other things that they can do, which ends up sort of increasing the cost. So, obviously our desire is to get to trial as quickly as possible and as Kerry said, put this behind us. But anyway, just in case anyone remembers any prior comments that we made, the trial date did move from April to the current estimated trial date is now September.
Allen Klee: Great. Thank you very much.
Operator: Thank you. Mr. Bergera, there are no more questions from covering analysts. Would you like to address any investor questions before providing your closing remarks?
Joe Bergera: Yes. Thank you, operator. I would like to because we actually did receive one investor question. And that question is, how is Iteris positioned to work productively with Google's Green Light initiative? And also, can you comment on any strategic position and collaboration opportunities with Google? Which is a great question. For those of you guys who don't know, there's been some recent media reports and stories regarding Google Green Light. So anyway, I would just say that we’ve been -- we have ongoing collaboration with various stakeholders, actually across all of Alphabet, including Google. And I'd characterize that collaboration as very constructive and very complimentary, based on our collaboration with Google, but also based on our dialogue with agencies, including some that are referenced in the reporting on Google Green Light. I just want to say that we understand that Google Green Light is a lab project within Google. It is not mainstream. Google Green Light is used occasionally for research purposes associated with signal timing studies by really only a handful of agencies. And most of them, if you look at the reporting or do any actual research on it, you're going to see that most of them are international. To be clear, a signal timing study is a planning activity. It's very, very different from signal operations and it's especially different from intersection detection and signal control. Google Green Light is not a production-ready commercial solution. And just so everybody knows, we never encounter the product in any competitive procurement. That said, we do feel that the concept of Google Green Light does validate the benefits of our signal -- ClearGuide Signal Trends software in particular. But I want to note that Signal Trends is production ready. It's a commercial solution, and it's being deployed at thousands of intersections. Additionally, I want to note that the recent stories about Google Green Light replacing traffic signals, while they're kind of titillating, those stories conflate technical and operational concepts and they represent a basic misunderstanding of actual signal operations. So therefore, the bottom line here is I want to make sure everybody understands that we do not see Google Green Light as a competitive threat. And again, we're engaged in various collaboration opportunities across Alphabet, including Google, and we believe that the companies are highly complementary, not competitive. So anyways, having addressed that question, I also wanted to just kind of briefly talk about our investor relations program. Just so everybody knows, we'll be participating in the Northland Virtual Investor Conference on June 25, 2024. So if you guys would like to speak to us, please contact your Northland Securities representative. Additionally, we're planning to be engaged in various other investor outreach activities this summer and there will be more communication coming about that. And then, of course, we're always happy to speak with investors should any of you have any questions for us. So please don't hesitate to contact us. Anyway, if we don't speak with you beforehand, we look forward to updating all of you again on our progress when we report our fiscal 2025 first quarter results in actually just a few weeks. So anyway, with that, we'll conclude today's call. Thank you, everyone.
Operator: Thank you, everyone. This concludes today's event. You may disconnect at this time and have a wonderful day. Thank you for your participation.